Operator: Good morning, everyone, and welcome to the Kaltura Fourth Quarter and Full Year 2022 Earnings Call. All material contained in the webcast is the sole property and copyright of Kaltura with all rights reserved. For opening remarks and introductions, I will now turn the call over to Erica Mannion at Sapphire Investor Relations. Please go ahead. 
Erica Mannion: Thank you, and good morning. With me today from Kaltura are Ron Yekutiel, Co-Founder, Chairman and Chief Executive Officer; and Yaron Garmazi, Chief Financial Officer. Ron will begin with a summary of the results for the fourth quarter ended December 31, 2022, and the company's plans and expected trends for 2023. Yaron will then provide details of the financial results for the fourth quarter and full year 2022, followed by the company's outlook for the first quarter and full year of 2023. We will then open the call for questions.
 Please note that this call will include forward-looking statements within the meaning of the federal securities laws, including, but not limited to, statements regarding Kaltura's expected future financial results and management's expectations and plans for the business. These statements are neither promises nor guarantees and involve risks and uncertainties that may cause actual results to differ materially from those discussed here. Important factors that could cause actual results to differ from forward-looking statements can be found in the Risk Factors section of Kaltura's quarterly report on Form 10-Q for the quarterly period ended September 30, 2022, and other periodic SEC filings, including the annual report on Form 10-K for the fiscal year ended December 31, 2022, to be filed with the SEC. 
 Any forward-looking statements made in this conference call, including responses to your questions, are based on current expectations as of today, and Kaltura assumes no obligation to update or revise them, whether as a result of new developments or otherwise, except as required by law. 
 Please note, we will be discussing a non-GAAP financial measure, adjusted EBITDA during this call. For a reconciliation of this non-GAAP financial measure to the most directly comparable GAAP metric, please refer to our earnings release, which is available on our website at www.investors.kaltura.com. 
 Now I'd like to turn the call over to Ron. 
Ron Yekutiel: Thank you, Erica, and thanks to everyone for joining us on the call this morning. Today, we reported total revenue for the fourth quarter of 2022 of $44.1 million, up 3% year-over-year and subscription revenue of $39.6 million, also up 3% year-over-year. Adjusted EBITDA for the quarter was negative $4.2 million.
 In our last two earnings calls, we made three important financial forecasts: An expected return to revenue growth in the fourth quarter of 2022, expected quarterly improvements in adjusted EBITDA towards a single-digit dollar loss in 2023 and then expected significant improvement in cash flow with a forecasted single-digit aggregate cash flow from operation dollar loss during the second half of 2022. Today, we announced that we have achieved these goals for 2022 and that we are once again reaffirming them for 2023. 
 Regarding revenue in the fourth quarter of 2022, we achieved record numbers for both subscription and total revenue, and the sequential quarter-over-quarter revenue growth rate for both revenues were at levels that we have not seen since the first half of 2021. It was also the first time since that same period that we grew our quarterly year-over-year subscription and total revenue growth rates. 
 While revenues from professional services are expected to be volatile and to continue to decrease overall, we expect the quarterly year-over-year subscription revenue growth rates in 2023 to be higher than those that we posted in the last 3 quarters of 2022. 
 As for adjusted EBITDA profitability, we achieved the lowest adjusted EBITDA loss over the last 5 quarters and despite a very turbulent year, have obtained our original annual guidance for 2022. 
 We continue to take proactive action to adjust our spending levels to achieve our return to profitable growth. To that end, in early January, we announced that due to the macroeconomic climate, we're downsizing 11% of our workforce. We are once again reaffirming today our goal to continuous quarterly improvements towards a single-digit adjusted EBITDA dollar loss in 2023 and to breaking even during 2024. 
 And lastly, regarding cash flows, we achieved during the second half of 2022, the single-digit cash flow from operations loss that we had forecasted. We are also reaffirming today our intent to materially reducing our annual cash burn in 2023 with most of the losses expected in the first quarter of the year due to typical seasonality and the limited impact of our January cost reductions in this quarter. We expect to achieve cash flow from operations breakeven during 2024 with sufficient cash reserves. The company was adjusted EBITDA and cash flow operations profitable in 2019 and in 2020, and we believe we will be there again soon. 
 Moving on to our business update. In the fourth quarter, we closed new business across all of our segments. We see a continuation of the trends that shaped 2022 with employee and partner communication and training, customer engagement, internal and external-facing events in student learning, all continuing to transform to online video-centric experiences that Kaltura's products are designed to power. Companies are also increasingly value their ability to consolidate their currently fragmented video needs around Kaltura's single, flexible, tightly integrated and engaging enterprise-grade platform. This enables them to avoid disjointed workflows and content silos and to reduce technical and operational complexities and costs. 
 On the media and telecom front, in the fourth quarter, we closed an upsell agreement with one of our largest telecom customers that uses Kaltura's cloud platform to power its multinational TV service in Europe. Our annual revenue from this customer based on forecasted usage is expected to grow by over $2 million in 2023 as compared to 2022. This quarter, we also completed delivery of cloud PV projects for two other large telecom customers and we'll start to recognize subscription revenues for these projects. 
 We continue to expand our business with one of the world's largest brokerage houses who now also relies on Kaltura for their outbound marketing activities. We had strong success in pharma with 2 of the top 10 largest pharmaceutical companies in the world. One, a new customer using Kaltura to power its internal video use cases, and another, an existing Kaltura customer, to now also enable its internal and external events. 
 We also continue to expand the use cases we power with our event platform and one of the largest global technology companies who was an early adopter of our product. We continue to see growing demand for our Events offering across many industries, including financial services, pharma and tech, as mentioned, but also in health care, manufacturing, market research and education. 
 While on the topic of events, last November, we hosted our second annual Virtually Live! event where over 5,000 event professionals, marketing leaders and digital experience creators registered to hear leaders from Accenture, Lenovo, AWS, SAP, Salesforce, Oracle, Adobe, Microsoft, Google, Cisco, IBM, Airbnb, VMware and many others. The event also allowed us to showcase our event platform to a wide array of potential buyers, generating more than 1,000 qualified leads that are now fueling our pipeline. 
 On the product development front, this quarter, we continued to evolve our Events platform and our new webinars product. These products allow organizations of any industry and any scale to host a wide array of branded events from simple webinars to multi-track multi-day fully branded online or hybrid events. 
 During the quarter, we invested in more advanced user authentication and management in improving our user experience on mobile, in our new virtual meeting room and chat experiences and in more advanced analytics. We also continued advancing our integration with third parties, including an updated integration with Webex App Hub that enables customers to easily port over a recording of Webex meetings automatically to our platform as they're already able to do with Zoom and Teams recordings. Lastly, we rolled out the new version of our Player and Player Studio, which includes enhanced functionality and interface and additional third-party integrations. 
 While the products are highly modular, they're continuously demanding less and less Kaltura services to launch and customize. And new releases like our webinars products are already offered fully self-serve. To help us in our efforts to expand from high-touch sales to low touch and self-serve powered product like growth, in January, we also welcomed to our Board of Directors, a new member, Eyal Manor. Mr. Manor is the Chief Product Officer at Twilio, where he's leading product and engineering for the company. Before that, he spent 14 years at Google, where he was a General Manager at Google Cloud. Prior to that, he was Vice President of Engineering at YouTube. And before joining Google, he founded a voice and video SaaS streaming startup. We are fortunate to benefit from Mr. Manor's wealth of product and business experience. 
 As we look forward into 2023, we're excited about our broadening product offering, our expansion on market and our strong position as the provider of a horizontal platform that addresses multiple use cases in our market. 
 On the other hand, we're still seeing the impact of the macroeconomic climate on our customers and prospects through longer sales cycles and decreased budgets. We're also experiencing increased price pressures by our competitors. 
 To assess future expected demand, we're closely monitoring leading indicators such as the number of RFP requests and number of meetings set by our SBR team. To that end, while the numbers went down in the second half of 2022, they started picking up again at the beginning of this year, where, for example, our fee submissions were higher than either of the last 2 years. While we hope this trend will continue, we're careful and pragmatic as especially required in times like these. 
 In summary, we wrapped up a tough year with a strong post-COVID currency exchange and recession in growth headwinds that dramatically slowed down our growth far below our historical growth rates. Last quarter of the year showed a return to growth, and we hope that this trend will continue this year. While we believe we have the right products and market positioning to support much faster growth given the macro conditions and considering last year's outcome, we're thoughtful with our revenue guidance. 
 Regardless of our top line growth, we remain fully committed to returning to profitability, and that means meeting our single-digit adjusted EBITDA forecast and reaching both adjusted EBITDA and cash flow from operations profitability in 2024. We have obtained our profitability forecast in the previous 2 years as a public company despite market turmoil and we intend to obtain them in the next 2 years as well. 
 With that, I'll turn it over to Yaron, our CFO, to discuss our financial results in more detail. Yaron? 
Yaron Garmazi: Thank you, Ron, and good morning, everyone. As I review our fourth quarter and full year fiscal results today, please note that I will be referring to a non-GAAP metric, adjusted EBITDA. A reconciliation of GAAP to non-GAAP financials is included in today's earnings release, which is available on our website at www.investors.kaltura.com. 
 One other note before I go through numbers. We have previously indicated that we intended to merge our EE&T and M&T segments together and report as a single segment starting in the fourth quarter of 2022. As you saw from our press release, we have decided not to change our segment presentation at this time, and we will continue to report on two segments. 
 Now to the numbers. Total revenue for the fourth quarter ended December 31, 2022, was $44.1 million, up 3% year-over-year. Subscription revenue was $39.6 million, up 3% year-over-year, while professional services revenue contributed $4.5 million, up 6% year-over-year. The remaining performance obligation were $171.7 million, down 7% year-over-year, of which we expect to recognize 60% of the revenue over the next 12 months. Annual recurring revenue was $159.2 million, up 6% year-over-year. Our net dollar retention rate was 96% in the fourth quarter, the same as Q3 2022. 
 Within our EE&T segment, total revenue for the fourth quarter was $30 million, down 3% year-over-year. Subscription revenue was $29 million, down 2% year-over-year, while professional services revenue contributed $1 million, down 19% year-over-year. 
 Within our media and telecom segment, total revenue for the fourth quarter was $14.1 million, up 20% year-over-year. Subscription revenue was $10.6 million, up 21% year-over-year, while professional services revenue contributed $3.5 million, up 16% year-over-year. 
 On January 3, we executed a reorganization that led to a downsizing of 11% of our workforce. We expect an unrealized savings of $16 million resulting from this section and incurred pretax charges of approximately $1 million, primary severance and related costs, all of which were expensed in the first quarter of 2023. The goal of the plan was to align spend with current market condition to allow us to continue our path to profitability. 
 GAAP gross profit in the quarter was $27.6 million, representing a gross margin of 63%, the same as Q4 2021. Within our EE&T segment, gross profit for the fourth quarter was $21.1 million, representing a gross margin of 70%, down from 71% gross margin in Q4 2021. Within our M&T segment, gross profit for the fourth quarter was $6.5 million, representing a gross margin of 46%, up from 39% gross margin in Q4 2021. 
 GAAP net loss in the quarter was $14.8 million or $0.11 per diluted share. Adjusted EBITDA for the quarter was a negative of $4.2 million, improving from a negative of $7.7 million in Q4 2021. 
 And now for our full fiscal year results. Total revenue for the year ended December 31, 2022, was $168.8 million, up 2% year-over-year. Subscription revenue was $152.5 million, up 5% year-over-year, while professional services revenue contributed $16.3 million, down 19% year-over-year. 
 Within our EE&T segment, total revenue for 2022 was $120.2 million, up 1% year-over-year. Subscription revenue was $113.6 million, up 4% year-over-year, while professional services revenue contributed $6.6 million, down 34% year-over-year. Within our M&T segment, total revenue for 2022 was $48.6 million, up 6% year-over-year. Subscription revenue was $38.9 million, up 8% year-over-year, while professional services revenue contributed $9 million, down 3% year-over-year. 
 Net dollar retention rate was 100% in 2022 and was 118% in 2021. GAAP gross profit in 2022 was $106.9 million, representing a gross margin of 63%, up from 62% margin in 2021. Subscription gross margin was 74%, up from 72% in 2021. 
 Within our EE&T segment, gross profit in 2022 was $83.8 million, representing a gross margin of 70%, down from 71% gross margin in 2021. Subscription gross margin was 78%, the same as 2021. Within our M&T segment, gross profit in 2022 was $23.1 million, representing a gross margin of 48%, up from 40% gross margin in 2021. Subscription gross margin was 63%, up from 56% in 2021. 
 GAAP net loss in 2022 was $68.5 million or $0.53 per diluted share. Adjusted EBITDA in 2022 was a negative of $28.3 million, decreasing from a negative of $12.2 million in 2021. 
 Turning to the balance sheet and cash flow. We ended the quarter with $86 million in cash and marketable securities. Net cash used in operating activity was a negative of $5.8 million in the quarter compared to a negative of $10.7 million. Net cash used in operating activities in Q4 2021, and compared to a negative $22.5 million and positive of $1.1 million in Q2 2022 and Q3 2022, respectively. For the full year, net cash used in operating activities was a negative of $46.8 million compared to a negative of $22.1 million net cash used in operating activities in 2021. 
 I would now like to turn to our outlook for the first quarter of 2023 and the fiscal year ended December 31, 2023. In the first quarter, we expect subscription revenue to grow by 5% to 7% to between $38.9 million and $39.6 million and the total revenue to increase by 1.5% to 3.5% to between $42.3 million and $43.2 million. We expect a negative adjusted EBITDA to be between $3 million and $4 million. For the full year, we expect subscription revenue to grow by 4% to 6% to between $158.6 million and $161.7 million and the total revenue to grow by 0% to 2% to between $168.8 million and $172.2 million. We expect for the full year a negative adjusted EBITDA to be between $5 million and $8 million. 
 In summary, in light of the macro conditions, we closed a much slower growing year than usual, but have returned to growth in the last quarter and hope that this trend will continue, though we are thoughtful with our guidance. While revenue from professional services are expected to continue to decrease, we expect that the year-over-year subscription revenue growth in 2023 to be higher than those that we posted in the last 3 quarters of 2022. 
 Above all, notwithstanding the top line growth, we are firmly committed to returning to profitability, and that means meeting this year's single-digit adjusted EBITDA loss forecast and materially reducing our annual cash bearing in 2023 with most of the losses in the first quarter of the year. We expect to achieve a cash flow from operations breakeven during 2024 with sufficient cash reserves. 
 With that, we will open the call for questions. Operator? 
Operator: [Operator Instructions] Our first question comes from George Iwanyc with Oppenheimer. 
George Iwanyc: Ron, maybe starting with the macro environment. Can you give us a bit more color on what you're seeing both from a new customer activity perspective in guidance as well as your assumptions on MDR? 
Ron Yekutiel: Sure, George. Thanks for the question, and good day to everybody. So first and so far, the trends that we've seen last quarter that are affecting us. Bookings in Q4 was a little lower than Q3. It's similar to last Q4. From a split perspective, it was like always, mostly enterprise and EDU and M&T, mainly upsells compared to new logos. From a geo-split, as usual, EE&T was majority from North America, then EMEA then APAC. Channel business was a bit higher than usual, but still within that kind of low double-digit area. And percent of services continue to go down a bit, but it's still in the high teens for EE&T. It's over 50% for M&T, but the general trend is continued to go down. 
 From a tailwind perspective, and things that we've continued to be supported by the classic usual reason to buy Kaltura, transformation of customer engagement, employee training, reskilling, student learning, video-based experiences, they become a reality now. And so, even if there's other stuff around post-COVID that has attenuated, this is something that people still want. There's still continued shift to work streams online but also this year, it's a way to save money, and we see a lot of folks that are talking to us about reducing travel costs and find our offering to be relevant for them. 
 To that end, customers are also looking to improve budget efficiency and consolidate vendors to spend less and also be more efficient. And Kaltura is very unique in our ability to support both content management and events of all sizes and that enables the consolidation. And if we talk about events, it's become a bigger part of our bookings. Now it's about 30% plus of our overall booking, which has grown over the years. 
 It's coming into many new verticals. Initially, where we're mainly in tech, as you know, and now it's been extended more into areas, like banking and business services and market research and pharma and EDU and retail. And if we speak about financial services, that's continuing to be a very strong market for us. We've recently discussed how we've launched solutions for wealth management in one of the major, major banks. 
 In EDU, we're adding our event platform, and we're increasing our work with K-12. And in Europe, particularly, we're seeing growth from consortiums. In M&T, we continue to see growth in our existing base of Pay TV customers. That's driven by both subscriber and price increases actually, that we're managed to have put. And we've also launched a bunch of new projects. So that's some of the good stuff that's happening. 
 Part two, some of the macro headwinds. We are seeing customers holding back on their spending being a bit more risk averse and taking more in the valuation time. From a budgetary constraint perspective, it's affecting demand. And a lot of our competitors are dropping prices and they're trying to keep on their customers because we are generally positioned as a better product. And so, to avoid people from switching, they're trying to reduce costs. 
 We spoke about the number of qualified leads and RFPs last time. They started bumping back up. So the beginning of the year showed an improvement. If you look at Q4, it was still lower than earlier in the year. So in general, the second half of last year had a decrease in the SDR's meeting set of about 30% compared to the first half of the year. But that rebounded in January and now beginning of February. So it's hard to tell how it's going to go this year. We're monitoring it closely. 
 And so far, as organic usage in enterprise and education has slowed down a bit. And in M&T, there's not a lot of new deals. It's still taking time. So kind of a balanced situation between headwinds and tailwinds. 
 In so far as how that's affecting NDR per your question, I mean, we've seen a flat NDR this year -- this quarter compared to the previous quarter. And we remain in the belief that NDR will start picking up at the beginning of the year. It's still early for us to say how high it will go. And in general, we're cautious about any further-looking forecast into 2023. But we do believe it will be better than the current situation in Q4. Yaron, do you want to add to that? 
Yaron Garmazi: Yes. One important point to add on the NDR, as Ron mentioned, it was flat compared to Q3. And we see a situation that it's starting to ramp up going into Q1. But the most important point is that gross churn numbers were very low to this quarter and actually, the lowest number we saw since Q3 2021. So we are still optimistic that it's starting to turn around. But obviously, we need to be cautious looking into this year. 
Ron Yekutiel: Yes. And as it pertains to gross retention and churn, which has always been a good number, and we've always highlighted the fact that unlike some of the other video vendors that have sold to the SMB arena, we were more in large enterprise. And also due to the virtue of the type integrations that we offer, we're a stickier offering. That has always been the case with Kaltura year-over-year, and we continue to maintain very strong retention rates on a gross retention rate basis. 
George Iwanyc: And maybe just following up on the pipeline. With the number of customers engaging with the platform going up a bit, are you seeing your conversion rates stay relatively stable and pulling the new customer activity a bit up? 
Ron Yekutiel: Yes. Win rates have not come down and conversion rates have not come down. We're seeing on M&T from additional pipeline that's looking forward additional deals that are coming up. And from an EE&T perspective, we have one of the largest aerospace and defense conglomerates. In advanced discussion was we have a large European bank. We have a large Indian IT service. We have several of the largest software companies in the world that are talking about projects in Q1. We have universities around the world. So it's still very active. Like I said, it doesn't seem like the best of years given everything else I've said, but it's definitely an active market out there for Kaltura. 
Operator: Our next question comes from Gabriela Borges with Goldman Sachs. 
Jacob Titleman: This is Jake on for Gabriela. I guess based on the actions that you guys took in January, why not pull forward the profitability and breakeven goals rather than just reiterate what you've said over the last couple of quarters? 
Ron Yekutiel: Yes, Yaron, go ahead. 
Yaron Garmazi: Yes. Obviously, we took this action early this year. Some of it, we'll see the impact going into -- mostly into the second part of the year. But you also saw the numbers that we delivered for this quarter, which were better than the guidance in terms of profitability. Also, by the way, in terms of cash flow. So we will work out to expedite, and we believe that the results will be good, but most of the impact, we'll see in the second half of the year. 
 And in terms of the cash flow, Q1 is -- was always, in seasonality, a lower quarter. But as we mentioned in our script, we believe that this trend will turn around completely in the next 3 quarters of the year. 
Ron Yekutiel: Yes, I want to stress again the difference between the annual results and the quarterly results, and Q1 is a significant loss for the full year compared to the total numbers that we're expecting for this year. So I think by the time we get to the second, third, fourth quarter, the business is going to look pretty solid. 
 And so once again, we're very thoughtful about numbers for the year. We've looked at last year, and obviously, we've hit our even original adjusted EBITDA numbers, so that we're managed to have done. But there were quite a lot of surprises last year, and we want to enter this one with the right set of expectations and then hopefully be able to over-deliver and not overpromise. 
Jacob Titleman: That's helpful. And then for my follow-up, Ron, I guess a longer-term question here. You've obviously mentioned momentum with the self-serve offerings. Just curious to get an update since those features are now fully launched. What are the next product cycles that customers are asking for and that investors should be paying attention to? 
Ron Yekutiel: Yes. So as you recall, last quarter, we did announce the addition of our webinars product, which is a full self-serve product. It's added to the whole low-touch move. Our event platform, I mentioned already, sales and pipeline is picking up and is becoming a big percentage of our offering. And while that one specifically is not a full self-serve but a low touch, call it, self-operated that does not require event services, it is part of the general direction that we're going through. 
 As far as webinars, which it was just the very first launch, and we've started closing initial deals and optimizing it, it's offering a single session event as opposed to the multi-track events of our EP and it's going to continue to improve in the quarters ahead. We expect it to start moving the needle this year but to be gradually so. It's upside from our own internal forecasting perspective, not because we don't believe in it. It's just a new product and a new entry into the market. 
 To be clear, the focus there is not SMBs, rather SMEs in which we go into the medium-sized enterprises, departmental sales, easier selling into the larger companies with a product-led growth approach, which we'd like people to start playing with our products prior to having advanced discussions with us. And in this last quarter, we added a bunch of feature sets, which we had noted in our script. New player and capabilities, new integrations like Webex and specifically into webinars and events. Our overflow room, mobile activity, additional authentication and user management. So we're going strong on that. 
 I think it's fair to say that if you don't look at it on a quarter-by-quarter basis, but a year-over-year basis, that will become a significant driver of growth for Kaltura in the next 3 years. 
Yaron Garmazi: But the important point, as Ron mentioned, we try to be very conservative in the way that we are forecasting it in our guidance for this year. 
Operator: Our next question comes from DJ Hynes with Canaccord. 
David Hynes: So Ron, with the Events platform, where are you seeing traction? Are these first-time events tech buyers? Or are they swapping out incumbent technology? And I guess if it's latter, like what's most often being replaced and what's the reason? 
Ron Yekutiel: Yes. Thanks, DJ. We have both. So we've started off a reminder with the very large flagship events with a lot of services at the time of COVID that were this immediate need for a very large event, historically, physical events that had turned virtual. But very quickly, we started developing our Events platform, which is supportive of many intermediate and small-sized events that could be used by many, many people in their corporation for their digital gatherings. And that EE&T product, Events platform product, that does not require event services is self-operated and gradually becoming more and more self-serve was launched in the second half of last year. 
 As it pertains to the folks that are using it, I'd say that it's about 50-50 between swap and first time. A lot of folks are now understanding that they'd like to have these type of activities online, whether it is for learning or whether it is for marketing. We do support both in a single platform, internal and external use cases within organizations. That's part of the benefit that people could take one platform and address both, and by the way, connect it to their content management. And others are swapping it, are swapping it either with earlier webinar products or earlier event products. 
 Usually, the biggest value that they find in Kaltura is the strength of the experience layer that we offer. The interactivity, the branding that could be offered by the organization. It's kind of a Netflix great experience, if you may, instead of the rather clunky initial products that did not really feel that you can interact and have a personalized experience and have a very high-quality experience when you have these gatherings together. So the intuitiveness and the degree of engagement that we offer is extremely significant. 
 Part of what we're catching up and adding more and more capabilities are more at the back-end element of these events around the quantum management and registration elements and things around payments and stuff like that, that we're adding more and more capabilities as we advance. It's kind of the back-end element, not the front end. But the front end are a very, very strong differentiator for the company. 
David Hynes: Yes. Yes. That's super helpful color. And as a follow-up, Yaron, for you, how should we be thinking about gross margins in '23? I mean it seems like at this point, most of your growth is coming from the lower-margin M&T segment. So just curious how that impacts your view of '23? 
Yaron Garmazi: Yes, I would say that at this point, we should probably see the same level of margins from 2023 if we want to be a little bit cautious. You are right that most of the improvement is coming from the M&T and we believe that it will continue this way. So going into the second part of the year and definitely to 2024. Also, because of some of the cuts that we did or the downsizing, we believe that we'll see continued improvement. 
 So to make a long story short, probably you should stay at the same level that we have right now. But we believe that it will continue to pick up to the high 60s going into next year. 
Ron Yekutiel: One thing that I want to highlight just there in the answer is that the subscription growth rates for next year are going to be probably similar for both businesses. So we're not going to expect a significant pull up from the top line growth between M&T and EE&T. And probably also the professional services reduction on a year-over-year basis will be equal for both. And when you add both of these, it's probable that EE&T will -- because it has less professional services, will end up growing faster than M&T in the way we're looking at it right now. 
 So the fact that this quarter, there was a bit of a pull up by M&T does not mean that our expectation into 2023 means that the bigger pool will come from M&T. So on a top line basis, the piece of the business that will grow on a year-over-year basis probably faster is the piece that has a higher blended gross margin, which would be contributing to a better overall gross margin. 
 It doesn't take away from the comment that Yaron said, which is that on a per division basis kind of an M&T versus EE&T, the per unit improvements have been and will continue to be more so on the media side. And we could expect to have better unit economic improvements as that gross margin continues to pull up. And we've showed that over the last 2 years that it's been improving and improving. 
 So all in all, we're optimistic about continued growth in gross margin. But as said, and as kind of is the general direction for this year, we're being thoughtful and we don't want to set the bar too high. Even if we assume it's a similar gross margin, that's okay, but we hope that we will continue to pick up. 
Operator: Our next question comes from Michael Turrin with Wells Fargo. 
Austin Williams: This is Austin Williams on for Michael Turrin. I wanted to touch on the restructuring and just how that's progressing. And any impact that you'd call out as it relates to sales productivity or efficiency as well as sales coverage? 
Ron Yekutiel: Austin, right? I just wasn't clear. Yes, Austin for Mike. Thanks for the question. So yes, we did go through another restructuring round at the beginning of the year. As noted to everybody, it was 11% of our headcount and about $16 million of savings. As always, these things are prepared a bit earlier, and we're looking at things. Towards the end of the year, we were hit like most companies by a couple of waves. 
 The first wave was the post COVID wave. Many folks were considering whether the year is going to be better than in 2019 or worse than in 2019. And then when the post COVID kind of wave hit, people are looking more like a pre-COVID behavior. I think the second wave that hit everybody is the question of, oh my God, is this a recession looming? And if so, is the 2019 comparison not the right comparison. Should we'd be looking at in 2008 or 2000 world, which had caused a lot of companies to have recalculated a direction just like we did towards the latter part of the year, and we've reduced it. 
 I'd say that we took people off from various areas of the company. Part of what played well for us in so far as our ability to cut is that we have achieved kind of a quantum leap, this electronic jump around things that we have developed over the past 3 years around Events and move into RTC, real-time conferencing. So that by the time we ended 2022, we could have reduced some of the efforts there without impacting the products because they were already launched. They're already out there. And obviously, we want to continue to develop fast. But if we need to slow down a bit, it doesn't take away the fact that we've already landed and we're now in this new market and we could afford to spend a bit less around engineering. 
 And then from a go-to-market perspective, we've increased materially the amount of people in recent years. Notably, in 2021, we grew the number of RAM salespeople by about 40% and the last year by about 7%. So now we come back by about 13%. So if you run all that math, basically means that we're not far from 2021 numbers. And it's still about 30% more ramp salespeople than 2020. 
 So we have enough people gun powder to address the growth that we're expecting. Is it there to support a 30%, 40%, 50%? Of course, not. But for where the business is currently growing and where the world is right now and the degree of demand that's out there, I think we're in a good place, and we're seeing the people well-utilized. 
 Morale is high. We've not seen any voluntary departure that's significant. In fact, it's lesser than earlier periods. And I can say that people in the company feel very good about what we've done and the fact that we're taking good care of the company. People inside and outside of the company are well aware that we were profitable in 2019 and 2020. 
 When the #1 question at the time was, why are you profitable? Why aren't you growing faster? And we said, sue us for believing a business needs to be profitable before it comes into a new cycle of investment. So we're still there. We're trying to manage things in a careful way. We have the right amount of salespeople to address current demand, and we feel we're well-balanced. 
Austin Williams: Yes, that's helpful. I just have one follow-up. Just on your approach towards guidance, I mean, it looks like there's a pretty significant reduction in professional services revenue this year. And just your conservatism that you're embedding in the guide. Does -- I guess, for your outlook, does that include any improvement or deterioration in the macro? Or does that assume that market conditions stay about the same? 
Ron Yekutiel: Yes, I assume they're going to stay about the same. It's definitely a thoughtful number that we have put out there for the professional services. There's nothing that's 100% showing us for a fact that this will be the degree of reduction, and it is -- continue to go down, but we're going to need to wait and see. 
 But no, this is not -- there's no optimism baked into that. But there's also no fundamental belief that something catastrophic will happen. We're just saying we're looking at last year. We're seeing how so many people have spent less on professional services, and we've made this shift towards recurring and we'd like to set the bar lower that we're not running after every dollar out there, rather looking into building a healthy business, that's a SaaS business. And we're mainly keeping our eyes on the subscription recurring revenue of the business, which is a sticky part. 
 Now obviously, the fact that we can customize and enable companies to tightly integrate our offering into their workflows is a huge plus. And one shouldn't mistake the fact that we are reducing the revenue from professional services to the fact that our customers could actually integrate, customize and do a lot of things. They just don't necessarily need to pay us to do so. And so, it's still a very big differentiator and one that keeps our gross retention numbers high, as I said earlier. But we are reducing the expectation of how much money we're going to recoup and hopefully surprise for the better. 
Operator: Our next question comes from Michael Funk with Bank of America. 
Michael Funk: First, during the prepared remarks, you mentioned increased pricing pressure in the market. Wondering if you could quantify that for me, whether it's 5%, 10% pricing pressure? 
 And second part to that question, are you seeing existing customers ask you for a reduction in pricing? And are you offering that to maintain the very strong GR? 
Ron Yekutiel: Yes. Yes. Thanks for the question, Michael. From the quantification, it's obviously hard because we're not in a business of hundreds or thousands of small, medium customers. We're in the larger business. And as such, there's not a trillion deals on any given point that are being discussed. The vast, vast majority are not necessarily getting into this kind of classic price participation. And yet, in certain bids and certain situations, we do see that. 
 In the places we do, it could find itself going to that 10%, maybe plus 15% reduction. The 5% is something that could always happen. That's not even an example of anything macro happening, but we are seeing things that are happening that are north of 10% sometimes on a competitive nature. 
 In so far as how do we react to it, again, generally, we're seen as the premium product in the market and people appreciate the additional value. Mostly in the past and in the present as well, we win deals though we are more expensive because we have greater value to offer. 
 And so, what often happens when people are in that situation that they're seeing lesser prices by competitors is that we're able to recoup that with additional value and not necessarily with lower cost or lower price. So that we have quite a lot of products. As you know, the stat that most of our customers use 3-plus products from Kaltura, we've launched new ones, and then we could come and say, look, it's more for the same or more for a bit more as opposed to the same for less. And we're able to provide additional value. 
 But again, it's a case by case, it's not everywhere. Do we have existing customers that have requested certain reductions? Here and there. It's not something that's happening everywhere, not at all. But there are cases of this, and we are, as mentioned earlier, discussing with them, should that be recouped by value or should that be by way of reduction? If so, what type of service should we reduce accordingly, so that it doesn't impact our margins, and it's a fair situation? And in some cases, we're able to find whether they need something less of something in order to pay less of. 
 But that's not the majority. Again, you can look at the gross retention numbers. The numbers that Yaron had shared earlier, and we had the lowest gross churn number on a quarterly basis for 5 quarters of the last quarter, these numbers are inclusive of any form of lost recurring revenue, whether it is through full churn or any form of reduced number. And so, if we're at the lowest churn that we've had for 5 quarters, that's an answer that we haven't had any material reduction that goes across our customer base. 
Yaron Garmazi: And also, Michael, as we mentioned before, when we look on the trends around the NDR, first of all, last quarter, we said that maybe it will go down by 1 or 2 points. It stabilized on the same number right now. And as we mentioned, we see the trend turn around. And we believe that this will start to pick up starting in Q1 2023. 
Michael Funk: Yes, that would be a nice trend and certainly better than expected in 4Q. And same line of thinking and on your comments about premium product, how should we think about required investment in R&D to maintain that differentiation or premium product status percentage of revenue? What's the right level of R&D to maintain that positioning? 
Ron Yekutiel: It's a good question. I mean, as I mentioned, we have made this kind of a quantum leap that have brought us to where we are now. At this point, we feel that we don't need to increase our R&D spend in order to achieve the growth numbers that we're planning and then some. We have more than enough to be able to plow forward and to be able to deliver a much greater growth. 
 Are we in a position now to continue to further cut back on R&D and reduce the numbers? That's not our plan. We don't think we need to. Definitely, the numbers suggest that to arrive at profitability, we don't need to. And we definitely believe that growth numbers will come back. We are not at historical lows for growth numbers compared to what this company had always done pre-COVID. And we believe that when the macro shifts, the company could grow faster. 
 But could the percentages continue to come down materially? The answer is yes. Again, in the last 3 years, we've made a very audacious jump from the world of content management into the world of events and real time. It was, as I mentioned in the past, a 7-level jump, starting with a new set of technology with real time, moving into a new set of products with events, webinars and virtual classroom, moving into a new set of buyers to the CMOs and use cases with marketing, a new form of selling with more low touch and self-serve and even more so sales through channels because of that. That's a lot of change, and we have gradually moved across the entire company to have accommodated for that and have done well by way of winning new accounts, big names and delivering well, getting good NPS scores and a lot of support, maintaining low churn. So we're going in the right direction. 
 Once that change has happened, then kind of we swallowed this big piece of stake and now we're kind of gradually advancing. We are requiring on a percentage basis far, far less than we did before. 
Operator: Our next question comes from Ryan Koontz with Needham & Company. 
Ryan Koontz: I want to circle back to the transition to self-service. You've been talking about maybe the earlier question. Maybe I want to ask it in a little different way, if I could. Certainly understand the drivers there around driving down customer costs and reducing friction on the onboarding. But where do you feel, like the product set is today in terms of you want it to be? Number one.
 And number two, how are you seeing the business trends on the self-service side evident in your bookings more recently? 
Ron Yekutiel: Yes. Thanks, Ryan. It's early days, right? And we've set that expectation from the beginning that when you're coming into so many new things. From a revenue perspective, everything that was expected to come in is complete upside. 
 And so, from a usage, we started operating this machine, putting it out there, starting to work with the first customers to make sure that they get what they want. We're getting great feedback. There's a lot of excitement around the product. I don't know if you've tried it to yourself, but we highly recommend it. And so, our view is that over the next few quarters, it's going to turn from initial adoption into logo count and then later into significant revenue. 
 Right now, we've also adjusted our cost basis from a go-to-market to be very limited. So we have not put significant spend on marketing or significant spend on resources around inside sales or commercial sales to be able to work around this model. Because from our point of view, we want to make sure from a product market fit and the initial users that this is working exactly like we should. There's a few set of feature sets that we still plan on adding integrations into additional CRMs, stuff of that nature over the course of the next couple of quarters. 
 And so no, this isn't yet something that we could come back and say, let's give you all the math around revenue growth and how it's catapulted forward by self-serve. But I'd say that, again, throughout 2023, it will start picking up, and it will definitely be a major contributor to 2024 and beyond on the growth side. 
Operator: [Operator Instructions] Our next question comes from Tom Blakey with KeyBanc Capital Markets. 
Thomas Blakey: It's Tom Blakey with KeyBanc. My question -- or a couple of questions here is first and foremost about this guidance, I think a lot of my peers have dug in here, but just maybe trying to ask it a different way and the visibility, Ron, if I may. Trying to reconcile the moving pieces, right, where I think we're all, on the call here and about, the good ARR number this quarter, but then like the second half seems to have slowed down in terms of RFPs and some cautious guidance there. Just want to maybe just circle back on the visibility of the '23 guide, especially even in your last two answers ago, you seemed pretty confident about it. I have a follow-up for you, Ron. 
Ron Yekutiel: Yes. Again, it's a balance. What you're looking at is on one end, a set of things that are working well for us. Use of products, the beginning of growth in Q4. On the other hand, we're all aware of the market we're in. And it's not a strong market. We're not seeing a huge pull from customers that's way more than a typical year. It's less than a typical year. And so far as the length of the sale cycles and in so far as the amount of meetings that are set, they are now improving, but it is still a lower budget year for many, many companies. And so, we're coming at it in a cautious way, in a conservative way, in a thoughtful way. 
 As we look into the year, we have strong visibility as expected into Q1. And you may see that the numbers there versus earlier expectations are trending well. But as you look into the rest of the year albeit that we're expecting for the growth rates on a year-over-year basis on recurring to be higher than the last few quarters as we've noted. We're not baking it into the current guidance, a significant pull up. We are trying to be cautious because we just don't know what's behind the curtain in Q2, Q3 and Q4. It's early. 
 The cycles are not cycles that will give us enough visibility into much later in the year. And so, it's -- we're just taking 1 day at a time. And we're playing a very clear foundation for the first quarter based on what we know, and we're laying a cautious middle of the road good and bad view into what could happen later from my point of view. Yaron, go ahead. 
Yaron Garmazi: Yes. One thing that is important, obviously, last quarter, we said that in Q4, we'll see a very nice pickup in the -- on a sequential basis, and we delivered it even better than what we said. And as Ron mentioned, we do have a very strong visibility into Q1 and therefore, we guided this way for Q1. But going into the second part of the year based on everything that's happening around us, we are trying at this point to be very careful and to do it quarter-by-quarter. 
Thomas Blakey: That's very helpful. And then Yaron, maybe just continuing on with you about the breakeven guidance into '24 and the single-digit numbers that you guided to in terms of bottom line in '23. Talking to a lot of different companies through this period of kind of post-pandemic cuts and slowdowns and macro pressures. You guys are facing a lot here. At the same time, Ron is talking about new products and new channels, et cetera. My direct question is what -- how confident are you that you can hit these targets in like a no-growth scenario? 
Yaron Garmazi: We are confident. Even the numbers that we deliver for Q4, as you can see, it's better than what we guided before. I think we have a very good control on it. And we're doing it in a very thoughtful way. I believe that the actions that have been taken this year and early -- late last year, and the way that we manage our budget right now, we feel that in terms of profitability/adjusted EBITDA and cash flow, we have a very good visibility and control on the numbers. And we believe the numbers, even in a scenario that it will go a little bit even south, which we do not expect at this point. So the short answer is, I feel very comfortable with the bottom and the cash flow numbers. Hopefully, we'll be able to overachieve in them. 
Ron Yekutiel: So Tom, I made the point in the script that for the last couple of years, a public company, but that's been the case also as a private company, we've hit the numbers at the bottom line. And notwithstanding surprises on the top line, and we all know last year was not a good year for us, for the industry, for the world. And so, we're able to move around and do what's needed to be done. 
 We're not necessarily going for the most populous resolutions. So last year, we didn't slash everything away at the beginning of the year because back into that 7-degree change that we did, we'd be cutting ourselves short after a multiyear effort if we didn't stick the landing and complete the type of products that we wanted to enter into this new market that our shares a lot more growth options for us. 
 And so, we made sure we completed that and then unwinded what we needed to have unwinded. And I think that was the smart , wise, cautious thing to have done. So now we're entering this phase with additional assets in our hand, and we're able to have reduced our costs and still maintain the right amount of cash and to be able to balance the company back. 
 So that's what we're looking at. We feel very confident in our ability to manage cash and to be able to address and deliver on bottom line. And at the same time, to have a true option to continue to grow this company or in short, come back to profitable growth, which is what we promised. 
Thomas Blakey: Good adjustments here and look forward to '23. Good luck, guys. 
Operator: There are no further questions at this time. I would now like to turn the floor back over to Ron for closing comments. 
Ron Yekutiel: Yes. I'd like to thank you all for your continued support and great questions. Wishing all of us a very healthy 2023. It's been an interesting year for the world in 2022. We, at Kaltura, our company that really believes in opens and flexibility and collaboration are great promoters of pluralism and we're hoping this year would be a pluralistic year for the world at large and a successful one for our industry and specifically for Kaltura. Thank you so much for your time today. Have a beautiful day. 
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.